Operator: Good morning, and welcome to Whirlpool Corporation's First Quarter 2015 Earnings Release Call. Today's call is being recorded. For opening remarks and introductions, I would like to turn the call over to Senior Director of Investor Relations, Mr. Chris Conley. Please go ahead.
Chris Conley: Thank you, and good morning. Welcome to the Whirlpool Corporation first quarter 2015 conference call. Joining me today are Jeff Fettig, our Chairman and CEO; Vice Chairman, Mike Todman and Marc Bitzer; as well as Larry Venturelli, our Chief Financial Officer. Our remarks today track with a presentation available on the Investors section of our Web site at whirlpoolcorp.com. Before we begin, let me remind you that as we conduct this call, we will be making forward-looking statements to assist you in understanding Whirlpool Corporation's future expectations. Our actual results could differ materially from these statements due to many factors discussed in our latest 10-K and our other periodic reports, as well as on Slide 1 and in the appendix of this presentation. Turning to Slide 2, we want to remind you that today's presentation includes non-GAAP measures. We believe these measures are important indicators of our operations as they exclude items that may not be indicative of, or are unrelated to results from our ongoing business operations. We also think that the adjusted measures will provide you with a better baseline for analyzing trends in our ongoing business operations. Listeners are directed to the appendix section of our presentation beginning on Slide 41 for the reconciliation of non-GAAP items to the most directly comparable GAAP measures. With that, let me turn the call over to Jeff.
Jeff Fettig: Well, good morning everyone, and thanks for joining us. In the press release this morning, we reported strong revenue growth in our earnings performance for the first quarter. To-date, our integration activities in Europe and China are on track, and we continue to see substantial value creation opportunities in these regions through synergies and growth. During the quarter, we did see significant movements in global currencies and a very negative demand environment in Brazil. But our larger global operating platform helped to offset most of these issues, and we deployed a series of new actions, which are expected to deliver margin expansion in the second half of the year. We will review these actions in detail during our regional reviews. Turning to Slide 5, in the quarter you can see we delivered strong revenue growth. Excluding the impact of currency, our revenues were up 23% on a year-over-year basis. As expected, our free cash flow was lower compared to last year, primarily due to seasonal working capital requirements related to our acquisitions. Our ongoing business EPS came in at $2.14 a share, compared to $2.20 last year. Again, primarily due to the negative impact of currency devaluations and lower demand in Brazil. As a result, we are revising our 2015 earnings guidance, which we show on Slide 6. Our revised GAAP to EPS is down $9 to $10 per share. Our ongoing business operations EPS is down $12 to $13 a share, and free cash flow is approximately $700 million positive for the full year. On Slide 7, you can see the combined impact of these environmental changes that had on our business, and is expected to be approximately $2 per share. Within this environment, we expect our first half results to deliver earnings per share that are approximately flat on a year-over-year basis. And as a result, the new actions implemented or in the process of being implemented, we expect to deliver margin run rates in the second half consistent with our prior expectations for the year, which represents a substantial level of margin expansion from where that is today. As shown on Slide 8, we feel good about the progress we're making in our long-term growth strategy, which remains on track. We continue to see multiple opportunities for both growth and margin expansion over the medium and long-term, falling under three prime categories; the first is our geographical expansion, again our integration plans are fully on track and already producing positive results. Additionally, while emerging market is currently slow or weak, we still remain very confident. There's a tremendous mid to long-term opportunity in these emerging markets, and this along with what we see as recovering demand in both the U.S. and in many European markets. The second area we're focused on is product and brand innovation. We continue to accelerate our investments in the relevant technologies and innovative products, which benefit our end customers. This will ensure our future growth rate and margin expansion. And third, and very importantly, we will continue to leverage and right-size our fixed cost structure with volume growth, which will lead to further margin expansion. So in summary our strategy remains on track. We will continue to deliver results, and enable us to overcome short-term environmental challenges as we are seeing today. Turning to Slide 9, you can see that our business priorities for 2015 are fully in line with these growth and margin opportunities, and remain largely unchanged for the year. Our integration and activities in Europe and China will continue, and are on track. We have taken additional cost-based pricing, and very strong cost productivity actions around the globe. We do except our investments in new products and growth beyond the core to continue to drive both revenue growth, and margin expansion. And as a result, we expect to expand operating margins significantly during the second half of the year. So at this point in time, I'll move on to our regional details, and I'd like to turn it over to Marc Bitzer.
Marc Bitzer: Thanks, Jeff, and good morning everyone. Let me begin on Slide 11 by reviewing North America's performance in the first quarter, starting with the top line. Net sales of $2.3 billion for North America were up slightly compared to the prior year period, and up 2.1% excluding currency. This is now the eighth consecutive quarter of year-over-year revenue growth. Our first quarter ongoing business operating profit was $230 million, compared to $228 million in the first quarter of 2014. In summary, in an essentially flat market we delivered strong margins in the first quarter, which confirms that our product transition and availability issues are largely behind us. Turning to Slide 12, our expectations for North America in 2015 remain unchanged. With major product transitions now largely behind us, we expect to leverage with launches and drive margin expansion. From a broader U.S. market perspective, we believe the industry is on track for a multiyear recovery, as evidenced by a recent increase in the existing home sales. In the first quarter, the industry was up 1%, and we expect the full year industry to be up around 4%. 2015 did start out a little soft industry-wide, largely driven by destocking at several major retailers, a somewhat slow start to the housing markets, and what we believe to be a delay, not a reduction in the ramp up of consumer spending. In Canada, specifically, where we have a significant currency issue we do expect that our recently announced cost-based price increases will help offset the margin impact of currency devaluation. As we speak, we are launching a new commercially inspired suite of KitchenAid appliances. On Slide 13, you can see our award-winning five-door refrigerator that features storage for easy access for family favorites, five customizable temperature zones, and a platinum interior option. I will now talk to the first quarter result for our Europe, Middle East, and Africa region, as shown in Slide 15. Sales were $1.3 billion, compared to $0.7 billion in the prior year. While a significant portion of its growth was driven by the integration, it is important to note that we had underlying growth in both the legacy Whirlpool and Indesit businesses. Ongoing operating profit was $35 million, with ongoing operating margin at 2.7% compared to $7 million, and 1% in the first quarter 2014. During the first quarter, positive volume, ongoing cost productivity, price mix, and accelerated integration activities more than offset the significant unfavorable impact of currency and lower demand in Russia, delivering another quarter of expanded operating profit and margin. As we look towards the full year 2015 on Slide 16, our integration activities remain firmly on track, and we continue to drive margin improvement in the region. For 2015, we expect the continuation of the Eurozone recovery, and industry to be flat to up 2% for the year. Demand continues to be strong in Western Europe, which is more than offsetting weaknesses we're seeing in Eastern Europe, most prominently in Russia, and the Ukraine. We have announced cost-based price increase in both Eastern European countries to offset the impacts of currency, and we are well positioned for growth and demand return. In summary, we remain focused on accelerating integration activities, ongoing cost productivity programs, and growth throughout new product launches, both within and beyond the core. On Slide 17, you can see our all-in-one countertop cook processor as an example of innovation outside of our core appliance categories. It is designed to simplify the lives of our consumers, functionality to prepare entire meals, and featuring six automatic cooking modes that guide consumers step-by-step for recipes for delicious culinary preparations. Now, I would like to turn it over to Mike.
Mike Todman: Thanks, Marc. Let me begin with our Latin America results on Slide 19. Sales for the quarter were $899 million, down 24% from a very strong baseline in the same prior year period, primarily due to unfavorable currency and reduced demand in Brazil. Excluding the impact of currency, sales were down 11% from the prior year period. Our ongoing business operating profit for the quarter totaled $59 million, or 6.6% of sales, compared to $109 million and 9.2% in the prior year period, driven largely by the factors mentioned earlier. On Slide 20, we want to provide additional detail on the macroeconomic picture in Brazil. Throughout the first quarter, the demand environment in Brazil weakened rapidly. Inflation, unemployment, and consumer confidence had a significant impact on demand, which was down 16% in the first quarter. While these macro changes are significant, it appears that the economic crisis has been initiated by the political crisis in the country, which is having a strong impact on consumer sentiment in the short-term. We continue to believe that Brazil's long-term attractiveness remains intact. As shown on Slide 21, if you look at the last 14 years of GDP, Brazil has shown a strong capacity to rebound from downturns, and we believe that the country as a whole has a positive long-term outlook. On Slide 22, we have taken strong and decisive actions to offset this rapid demand decline and currency impacts. We have executed and announced new cost-based price increases that become effective early in the second quarter. Additionally, we deployed strong actions to reduce our fixed cost, which included a significant workforce reduction, and production shutdowns to control our inventory levels. It is important to note that while we have taken these strong actions we will not see their full impact until the second half of 2015, at which time we expect to deliver operating margins in line with our prior expectations. We have adjusted our 2015 industry guidance for Latin America to down 10% to 12%. In summary, we expect to expand margins in the second half, similar to our prior expectations, while we continue to operate in a more challenging environment in Brazil. Turning to Slide 23, we launched a new Brastemp laundry product with an easy visibility glass lid in multiple color options that is designed for top performance in cleaning, bedding, and larger items. Now, turning to our first quarter results in the Asia region, which are shown on Slide 25; net sales of $378 million more than doubled from the prior period, primarily due to the integration. Consistent with our expectations we are on track with the integration process and have delivered ongoing operating profit of $26 million compared to $5 million in the prior year period. Ongoing operating margins were 6.9%, up significantly compared to the prior year period, behind continued strength in India, and our expanded China growth platform. Turning to Slide 26, we continue to see favorable macro trends in India, and relatively neutral macro trends in China. Our industry guidance for Asia, as a whole, is up 1% to 3%. In summary, for 2015, we expect significant growth from our integration activities, continued strength in India, and as a result, strong margins from our larger growth platform. On Slide 27, you can see our new entry-level refrigeration product for India. It features rapid cooling, and ice making technology, which has been well received by consumers. Now I would like to turn it over to Larry.
Larry Venturelli: Thanks, Mike, and good morning everyone. Let me start with our first quarter results on Slides 29 and 30, and then I'll discuss guidance for the year. As Jeff mentioned, we had record net sales and ongoing operating profit during the quarter. Our revenues were $4.8 billion, compared to $4.4 billion last year, an 11% increase. The business performed well, given the rapid changes in global currencies and a weak demand environment in Brazil. Currencies, which have weakened double digits versus the dollar year-over-year impacted our revenues by over $500 million, EBIT margins by just under 2 points, and earnings by approximately $0.85 per share. Despite significant currency headwinds, and a weaker-than-expected demand environment, the company delivered solid ongoing earnings of $2.14 per share, down slightly from the $2.20 last year. The diversification of our regional profit contribution, and the combination of positive price and mix, cost and capacity reductions, productivity, and benefits from our acquisitions offset most of the headwinds we've discussed. You'll note that interest and sundry increased $30 million compared to the prior year, and this is primarily due to fluctuations in currency. Additionally, as shown on Slide 30, on a GAAP basis our effective tax rate for the first quarter was lower than our full year guidance, however the ongoing rate was 24%, and we expect our full year tax rate to between 22% and 25% for both GAAP and ongoing earnings. Turning to Slide 31, relative to the guidance we provided in our last earnings call, we are revising ongoing business EPS guidance to $12 to $13. This will represent a 10% improvement in earnings compared to last year. Our expectations for 2015 free cash flow are now approximately $700 million. On Slide 32, let me make some additional comments regarding the challenging macroeconomic environment, and actions we have taken to mitigate the impact. Our revenues year-over-year will be reduced by approximately $2.5 billion due to currency, and we are now expecting a $500 million year-over-year impact to EBIT, which is $150 million higher than our previous guidance. This includes transactional currency of approximately $330 million, which impacts our margins, and translational currency of $170 million. Additionally, we expect approximately a $100 million impact due to the recent weakened demand environment in Brazil. Combined, these two factors lower our current earnings by approximately $2 per share, from our previous guidance. We view this earnings reduction as concentrated in the first half of this year. We expect to fully offset these headwinds, and return to the second half run rates we previously expected. As Mike and Marc discussed, we have taken further accelerated actions through cost-based pricing, cost productivity, and integration synergies to mitigate these impacts. When combined with the actions we've previously communicated, we now expect to deliver $700 million in EBIT improvement on a year-over-year basis to offset these headwinds, and deliver 10% earnings improvement. We have demonstrated over the past few years that we can offset significant cost headwinds, and improve our margins in earnings. On Slide 33, let me make some additional comments regarding regional operating margins and our earnings expectations. Given the fact that significant volatility in currency and demand have an immediate impact on our results, and the cost and pricing actions we're taking billed throughout the year, we would expect first half margins and earnings to be relatively flat with the prior year. We do expect strong second half margins and earnings, given the normal earning seasonality of our business and the benefits from actions we have taken. As we previously discussed, the normal seasonality in our industry and demand environment drives a ramp up of both volume and productivity as we progress throughout the year. So, the second half is typically more positive than the first half. In North America and Europe, we expect second half demand growth and the continued price mix benefit from prior year product transitions and our new product launches. Previously announced price increases as well as a ramp up in acquisition integration of synergies in Europe will also improve second half results. Both of these regions remain on track. For Latin America with recently announced price increases, fixed cost reductions, second half product launches, and actions to lower inventories to current demand levels behind us, we expect to restore margins to our prior expectations in the second half. We expect that Brazil's demand weakness and currency impact to result in lower margin expectations for the region on a full year basis. Asia is on track, and we expect continued integration progress from our acquisitions in China as well as continued strong performance from India. In summary, we expect margins to accelerate in the second half as our previously announced cost-based pricing, ongoing cost productivity, and price mix benefits ramp up to more than offset the negative currency impact. On Slide 34, you can see additional detail, and how we intend to deliver ongoing business EBIT margin expansion with a very balanced approach. On Slide 35, you can see an update on the progress of our integration activities in Europe and Asia. We incurred 33 million in restructuring expense, and $30 million in benefit during the first quarter, which was consistent with our expectations. For the full year, our acquisition and restructuring activities are on track, but we expect 300 million in expense, and 175 million in benefits consistent with our earlier guidance. Benefits will be more weighted towards the second half of the year. As we continue to grow revenues and improve margins, we have solid priorities to deploy the cash generated from our business as shown on Slide 36. Recently, we announced an increase in our quarterly dividend by 20%, reflecting our confidence in the continued strength of our ongoing business. In summary, given our profitable growth trends, increased investment capacity, and strong balance sheet, we continue to balance funding for all aspects of our business to ensure the best long-term value creation for our shareholders. Now, I'd like to turn it back over to Jeff.
Jeff Fettig: Thanks, Larry. Let me sum up by saying we certainly are addressing the short-term challenges we see throughout our business. But as I mentioned earlier, the priorities that we have for the business have not changed. We're focused on successfully integrating our European and Asia acquisitions, which are on track. Additionally, we do expect revenue margin growth from our innovating new product launches that are in the market today. I feel good that we deployed very specific actions to address the current challenges, and position us well to expand margins in the second half of the year. Our long-term growth strategy certainly remains on track, and we're making great progress towards this as we do continue to see multiple pass to profitable growth throughout our business. And we certainly haven't changed our mid to longer term value creation expectations. Overall, these growth plans do provide us with an outstanding opportunity to continue delivering significant shareholder value. So with that, I'd like to conclude our formal remarks and open this up to questions.
Operator: [Operator Instructions] And we can take our first question from David MacGregor with Longbow Research. Please go ahead.
David MacGregor: Yes, good morning everyone.
Jeff Fettig: Good morning, David.
Larry Venturelli: Good morning, David.
David MacGregor: I guess just to talk about Latin America for a second; that will certainly be a focal point today, but I wanted to see if you could address to the extent you can, the discrepancy between your competitors that announced 2% organic growth in Latin America this quarter, and your negative 11. And I realize you are up against a pretty tough call from a year ago, but can you help us understand that? Maybe was Embraco a factor there or maybe to the extent you can add some color, it would be helpful.
Mike Todman: Yes, David, it's Mike Todman. I'll talk about our business in Latin America and what we saw in the marketplace. And we saw a market that it was dramatically down, and significantly from where we thought it was going to be when we entered the year. And what we saw was that volatility, and really throughout the first quarter. So what did we do? We took immediate action to lower our production levels to make sure that we were producing in line with kind of where the market demand was. What we also saw was that some of the trade partners had too much inventory, and so started to de-stock, so that had an impact on overall volumes. So I could only comment on kind of where our volume was, and what the impacts were. And those were largely the significant impacts for us.
Jeff Fettig: David, this is Jeff. I would add to that. As we've talked in the past, we subdivide our Latin America business into four elements. Our global compressor business, which I would say is on track. Obviously currency translation affects everything, but in terms of the fundamental business, it's on track. What we call our LAR [[ph] international appliance business, all of our appliance business in the 30 some odd countries outside of Brazil is off to a good start. Our extended expand categories within Brazil continue to grow very rapidly. So the heart of our challenges really has to do with the core appliance business in Brazil. And there the issues -- Mike explained it very clearly, the market was down over 20%. We certainly have the currency, the valuation of almost over 40%, and then we still have the issue with inflation, which is relatively high in that country. So I think we understand the dynamics of our business very well. A big part of our business is the core appliance business. That's what's under pressure right now. I feel good about the actions we're taking to get it. At least the margins stabilized. Demand is going to be whatever demand is. And we think that's a nearer term problem, but will be with us most of the year.
David MacGregor: Okay. Just a follow-up question would be with respect to the guidance of down 10 to 12 for the industry for the year, in the second quarter the comps starts to get decidedly easier here just as you're up against the World Cup from a year ago and then the Presidential Election in the second half. It just seems like you go from a very difficult comp situation 1Q to a much easier comp situation, hesitant to use the word "Easier," but easier nonetheless over the balance of the year. And you took your guidance down substantially. Do you expect that still those procedure [ph] comps still have kind of a 10% challenge as the year goes on, or how does the cadence play out?
Mike Todman: Yes. David, it's Mike again. What we're seeing right now is still lower demand, even starting in the second quarter. So we expect demand even though those comps are a little bit easier to continue to be down in the second quarter. And then we see a relative improvement, although still negative, but down in the third and the fourth quarter. And that's exactly what we're experiencing. Remember, a lot of these comps and demand is based on consumer sentiment. And as we said, there are some issues in Brazil in the overall political environment, which are impacting, which won't necessarily resolve just in the short-term. So that's how we have come to the 12%. We still see second quarter being challenging, and slight improvement in the third and fourth quarter.
David MacGregor: Okay, thank you very much.
Operator: And we can take our next question from Megan McGrath with MKM Partners LLC. Please go ahead.
Megan McGrath: Good morning. Thanks. Obviously a lot of questions; just one of the moving parts here, could you just give us a sense for when we're watching things going forward as to when you lowered your guidance, what date you took the FX at? Things are moving pretty quickly, so just so we can sort of track going forward. Was it this week? Was it last week at the end of the quarter?
Jeff Fettig: Yes. Megan, obviously the currency has moved a lot. So we're using recent rates that we're seeing in the currency markets around the world. As we did during the last call, and as we've seen currencies move, we've taken actions to improve our business in specific areas like price increases and cost reduction because of the fact that currencies are relatively immediate. The benefits that we get from these actions will build over time, but essentially to answer your question, we used very -- the rates we're using are very consistent with what we've seen over the last -- in the very near term.
Megan McGrath: Okay, great. And then a follow-up on your guidance, could you give us an update on what you're assuming from commodities? Because we have seen still [ph] prices also continue to decline.
Larry Venturelli: Yes, I would say, Megan this is Larry. I would say, our guidance last time was about $50 million of deflation. We're seeing -- probably at current rates we're probably closer to 100 million, but I would say currencies especially in some of the emerging markets around the world obviously are having a negative impact and reducing the benefits of that. But certainly what we're seeing trend-wise material costs have been favorable. I would expect that the benefit from that will be more back-half weighted than first-half weighted.
Jeff Fettig: Megan, I would just add to that. You talked about the moving parts, if you really step back and look at our global business; we spoke the two negatives which are globally currency, but really a handful of currencies in particular. The Euro, the Reais, the Canadian dollar, and the Ruble are probably our four most impacted currencies. And they have moved significantly. In the other, we talked about demand, and the only place where we're largely different in demand that we thought is Brazil. Those are the two negatives. On the positive side, we feel really good about the rate of integration that's going on to-date. That's very positive. The new product transitions that we had some challenges with in the last couple quarters is behind us, and now we actually have the benefits of having those in the marketplace. And for the full year, our ability both through our cost productivity, our synergies, and our integration benefits, our cost position will improve radically as we go throughout the year. So as we look at it, it's really have we adjusted the business to the current range of currencies and demand, and I think the actions we've taken to-date are putting in place in the second quarter we have, and that's why we feel good about our ability to get our margin run rates at an accelerated level in the second half of the year.
Megan McGrath: Great, thank you. I'll let others get on. Thanks.
Operator: And we can take our next question from Sam Darkatsh with Raymond James. Please go ahead.
Sam Darkatsh: Good morning, Jeff, Larry, Marc, Mike. How are you?
Jeff Fettig: Hi, Sam.
Larry Venturelli: Hi, Sam.
Sam Darkatsh: A couple of quick questions; raising prices in Latin America in the face of demand deterioration, obviously there is some benefit to how appliances are sold from a pricing standpoint in the country, but how concerned are you about elasticity as demand perhaps making things more challenging for the consumer down there? That would be my first question.
Mike Todman: Okay, Sam. It's Mike. The reality is we've raised prices every time we need to, based on the inflation and the environment. And right now we're focused on expanding our margins, getting our margins back to the level that they need to be. The fact of the matter is there is a level of demand that stays [ph] there, and we're relatively confident in the demand outlook that we've given in that. Having our price increase won't have a material impact on that.
Jeff Fettig: Sam, I would add to that. If you look at our price increases, they're at or below the overall level of inflation, one. Two, we're taking just as harder [ph] actions on the cost productivity side, so ensuring that our business is competitive every day. And then the third thing is we don't believe in selling products at a loss, and so restoring the margins is critical in -- I think all the things going on in Brazil recently politically, et cetera has shaken consumer confidence. That has more of an impact than absolute pricing levels, particularly when you consider virtually everything in Brazil is bought on installments, and it's a cost per month. Therefore that's usually not the factor.
Sam Darkatsh: Next question, and I recognize this is patently unfair, because your visibility four months ago is going to be different than now, and I'm going to be asking you a question about four years from now, but regarding your 2018 expectations, you are expecting second half 2015 stabilization. Should we reset the base year lower now, and then assumes similar growth rates from there, or is that $22 to $24 goal still hold without making it a stretch goal?
Jeff Fettig: Sam, the way I'd answer that, everything we talked about at our Investor Day in our strategy remains intact. We have a different environment in a couple of dimensions right now. We do view this as -- certainly, we've been through ups and downs in Brazil demand before. And we think -- we still believe over the mid to long-term we're going to like the grow rate in Brazil. Currencies you adjust and we are adjusting very rapidly. So as you said, may be it wasn't clear enough, but there's nothing that has happened to date that would cause us or give us pause as to the targets that we outlined for investors, last December.
Sam Darkatsh: And final question, Larry, if you could help. Do you have the breakdown of the organic units' growth, or you change year-on-year in Euro and Asia?
Larry Venturelli: As Marc I think mentioned, our units, both the acquisition was up in units, and the base business is up in units. And then I think in the [indiscernible] side we're up slightly.
Sam Darkatsh: So, in line with the industry in both counts?
Jeff Fettig: At least in line or better.
Larry Venturelli: I would say Europe was better, China the same, yes.
Sam Darkatsh: Okay, thank you.
Larry Venturelli: You're welcome.
Operator: You can take our next question from Denise Chai with Bank of America Merrill Lynch. Please go ahead.
Denise Chai: Okay, thank you. Could we get some more color on the $100 million benefit from raw materials? What commodities do you see benefiting you the most? And is it your expectation that you'll be able to keep all of this benefit, or that it will be partly computed [ph] away?
Jeff Fettig: Yes, Denise. I think the whole basket of commodities are -- have been stable to lower, whether it's -- again, it depends by market because, and again I don't want to get into complexity here, but currency outside U.S. dollar denominated is -- does have a negative impact. So for example, globally in U.S. dollars we've seen commodity prices go down. That does not mean they go down in local currencies. In fact, in Brazil, we have again that 40% evaluation we have a huge increase in local currencies, but at a macro level, globally steel is a little bit lower year-over-year, hydrocarbons are lower, therefore you see plastic prices, and although we hedge all the pure commodities, the commodity trend has being going down. We are probably above that trend right now because of hedges, but over time it just smoothes it out. So a $100 million plus or minus is not a lot in the global business. I would just say this is the first time in absolute dollars that we might actually have lower raw material costs in over a decade. But on the other hand, we have a lot more than that in currency impacts as it relates to materials. So I don't see it as a big game changer either way, other than it won't be a drag against our productivity numbers this year.
Denise Chai: Okay, got it. And just a follow-on on that; can you give an update then on the North American competitive situation? I'm just wondering if the strong dollar would be encouraging more discounting by your foreign competitors. But I guess from what you are saying, but U.S. -- in local currency commodity cost has also gone up.
Marc Bitzer: Denise, it's Marc, and I'm trying to answer your question. First of all, on the cost base in North America. On the cost base in North America, yes it is true. We're starting to see raw material tailwinds. As you may recall, Q4 and we said that that would be the last quarter where we had headwinds, and now kind of it's slightly turned. So we have some modest benefit in the raw material, which we expect to build, and that added with cost productivity actions helps us improving our cost situation. I presume your second question was relatively more to a promotion environment. As you know we're kind of -- we're a little bit somewhat concerned about the heightened level of promoting in Q4. I will take Q1 was what I would describe more back to normal levels.
Denise Chai: Okay, got it. Thank you. And just last one, you reduced your CapEx guidance. Are there any projects getting pushed out to 2016, or what's changed there?
Larry Venturelli: No, you shouldn't think that any changes -- I mean, just again, on currency in U.S. dollars we're going to have lower CapEx with the same projects.
Denise Chai: Okay, understood. Thank you.
Operator: Our next question comes from Ken Zener with KeyBanc Capital. Please go ahead.
Ken Zener: Good morning, gentlemen.
Larry Venturelli: Good morning, Ken.
Marc Bitzer: Good morning, Ken.
Ken Zener: Might have more than two questions for you; so when you guys talk about the first half '15, I believe you were talking about flat EBIT. Can you attribute how much of that would be to Brazil? If it's most of it, and then what is that 10% unit decline in Brazil relative to where you were kind of before in volume imply for LATAM margins sequentially. I think this -– the strength you're talking about in the second half specifically is related to LATAM. You guys had previously a 9% to 11% margin range. So I'm just trying to make sure we're all on the same page for 2Q sequential, which seems to be nine to 11 on the back-half.
Larry Venturelli: Yes, Ken, let me try to answer this a little bit differently. I think I understand what your question is, it's more half one versus half two related. We said we'd be relatively flat in the first half of the year, and we did a little under $5.00 a share in the first half of last year, so that'd imply we do over a $7.50 in the second half of this year. There's probably about five factors that you need to take into consideration, first just the normal seasonality in the business. Historically, results are high -- we have higher volume in margins in the second half than we do the first half. If you would go back and look at the last three years, that's probably about $1.50 a share. We talk a lot about the acquisition synergies, those will be higher in the back half of the year. That will give you in order of magnitude probably $0.50. Net cost productivity, combination of the cost take out, material cost trends we're seeing will be better in the second half as I mention, and could get a dollar out of that. And then the enacted price increases and improved mix will be more weighted towards the second half based on actions we've taken. There will be a slight offset to that. When we just do the year-over-year currency, impact will be higher in the second half than it was in the first half. That's just that the business is larger, has higher volume in the second half. But that's really the bridge that gets you between the first half and the second half.
Jeff Fettig: And Ken, this is Jeff. I would add, you talk about Latin America, I mean the challenges that we saw in Q1, which is currency, which is lower demand, and I would add inflation that's been persistent. Also causes us to reduce our production schedules which will continue on into the second quarter. So you should expect the one part of the region in the world that's negative in terms of EBIT year-over-year, -- in Q1 it is Latin America, and in Q2 it will be Latin America. Everywhere else it is either modestly improving or improving a lot. And so what we're really seeing is that those trends that you saw in Q1 will be similar in Q2. But in Q3 onward, we expect our margins to albeit at a lower revenue level will expand significantly in Latin America. You'll see continued improvement with more cost productivity in North America -- well, in all parts of the world. And in the markets where we have, which are Europe and China, where we have integration activities, those too will ramp up. Q2 is going to look a lot like Q1, and you ought to see an acceleration because of those factors in Q3 and Q4.
Ken Zener: So I do, Larry, and Jeff, I do appreciate the details. I'm just still trying to I guess hone you in on that sequential margin. Because when you guys talk about a strong second half in LATAM last quarter you guys provided regional EBIT guidance which was very useful. And if you could update that I think everybody would appreciate that, but it seems…
Larry Venturelli: I would say the goals that we talked -- Because we're not going to give quarterly guidance on regional EBIT, but I would say this though, the goals we articulate haven't changed. The one that has been the delayed is Latin America. And you saw we were at 6.6%, so we went down before we go back up, but in terms of where we want to get to, that has not changed. I would say everything else we expect to be tacking to those goals in second half of the year.
Ken Zener: Right, okay. Taking a different perspective, and given the majority of the regions are doing well as LATAM. Other companies have elected to use their balance sheet, so you guys have a free cash flow that you're talking about should improve overtime. Can you talk about your willingness to use your balance sheet to perhaps offset some of these currency headwinds, whether it be by buybacks, or what some of the constraints might be and you're thinking that way, whereas many other companies have elected to do that.
Larry Venturelli: Yes, Ken, look I think Mike mentioned the several actions that we've taken in Latin America to get our run rates back on track in the second half of the year, again, this is timing between half one and half two. We've –- as a company if you look over the last several years, we continue to fund the business through capital spending. That's averaged 3.5% a year. We do have a targeted debt to EBITDA ratio of approximately one to one and a half times. You have to remember today is the highest debt to EBITDA that we've had over the last several years, and that's primarily due to the acquisitions that we took on last year, and we fully expect to be back to pre-acquisition metrics by the end of 2016. That has not changed. We've also over the last several years repurchased over a billion dollars of stock. We've provided a dividend in the range of 25% to 30% of our earnings annually. I just mentioned, we just increased that, and then opportunistically we've taken advantage of M&A. I think all those actions combined have been reflected in the company's stock price. So we're deploying the operational actions that we can do to return the business and Latin America back to the margins that we previously expected. We will from time-to-time repurchase stock as well as balance the other opportunities we have. So our capital allocation decisions haven't changed. I think we're doing a very well-balanced approach to it.
Ken Zener: Thank you.
Jeff Fettig: Thank you.
Operator: We can take our next question from Eric Bosshard with Cleveland Research. Please go ahead.
Eric Bosshard: Thank you. The Europe margin performance in the quarter and the outlook through the year, it sounds like the incremental cost saves and synergies you're talking about, it sounds like you're affirming the 175 million, same number that you've been at, and so the two questions, one, how do you think about the progress of Europe margins 1Q relative to 4Q and how the margins should behave through the year. And then secondly, as you're generating cost saves, your confidence in netting those cost saves to the bottom line as we work our way through the year.
Marc Bitzer: And Eric, it's Marc. Let me try to answer your question. First of all, the previous full year margin which we gave as a guidance from regional perspective was 4% to 5% for Europe, and 2.7% in Q1. So to answer it in short, we're fully confident that we are within that margin range. You've got to bear in mind, first of all in Europe, the seasonality in Europe is probably stronger than in other regions. So the Q1 is typically -- and if you go back the last ten years I think nine of ten years it's by far the lowest margin quarter. Two, as we previously indicated, a lot of the integration synergy is build throughout the year, so things which we -- and actions which we either took over or announced in Q1 that starts to build in terms of synergies throughout the year. So take the normal seasonality, add the typical synergy build up throughout the year, we're very confident that we are exactly within that margin range.
Eric Bosshard: And then within that, the second part of the question, the experience and -- again, I understand you're on the business for six months or so now, but the confidence that you have in netting the saves to the bottom line, I'll ask differently, how is the competitive environment there, the pricing environment, how do you feel and what are you observing within that? Is that any different now that you've combined the two businesses?
Larry Venturelli: Eric, on that point, I mean keep in mind the synergies are unique to us. So it's not industry-wide cost benefits. These are unique to us. So yes, we have a high degree of confidence that we can take them to the bottom line.
Jeff Fettig: And we've been pleased with the market, combined market or performances, they're running at or above the market in terms of volume. Our price mix is stable, and so we fully expect them to follow the bottom line.
Eric Bosshard: All right. And then if I could just follow-up on Latin America; two questions there. One what were your units in Brazil down relative to the market that sounds like was down 16 to 20 is the -- is the first question, and secondly, the inventory situation in Brazil, yours and the channel, did you exit the first quarterback at normal or is that progress expected to be made in 2Q?
Jeff Fettig: Yes, answer to the first question, Eric; we were slightly down more than the industry so we did loose a little bit of market share in the first quarter. But we felt a bit about where we were in the run rates. And the answer to the second quarter is we expect some continued inventory reduction in the second quarter. We think we will be more normalized as we get through the second quarter going into the second half.
Eric Bosshard: Okay, thank you.
Operator: And our next question will come from Michael Rehaut with JP Morgan. Please go ahead.
Michael Rehaut: Thanks, good morning. First question, I was hoping to go back to Slide 32, where you quantify on a full year basis the currency and Brazil demand and the actions taken, and I wanted to try and look at that slide, if possible, thinking about it through just the incremental change from today versus three months ago when you gave your guidance originally. And so I believe you said earlier, Larry, that there is an incremental 150 negative impact between today and three months ago from the currency. I'd presume that Brazil demand environment worsening that 100 million is also fully incremental. And if you could just confirm that, and then on actions taken as you list the different categories there, what is just purely incremental versus three months ago? I know you talked a lot about cost-based price actions, but if you could kind of walk through the different buckets there?
Larry Venturelli: Yes. Michael, versus February when providing guidance, we made a $2 adjustment; $1.50 of that is strictly due to currency, primarily the Real and the Euro. And the balance is related to the Brazil economic environment. If you would go back and look at our expectations for the year from a price mix perspective, last time we said I believe we get about a point of price mix, now we are seeing a point to point and a half. We take that additional pricing since the last call in Brazil, Canada, and Eastern Europe. So that explains that. Cost and capacity reduction essentially remains unchanged from what we said for a full year basis. Ongoing cost productivity, material costs, we are seeing benefits from material costs versus last year about a point. But remember, we are taking out a lot of production to meet demand. So we are still saying we will get at least a point there. Marketing and technology is essentially the same. And the big mover, as I mentioned before was currency. Now we are seeing -- I think we said 1 to 1.5 times last time, and now we are seeing 1.5 to 2 times.
Michael Rehaut: So I guess taking it in another way, with essentially your expectation that second half is unchanged from previous expectation, does that effectively -- in kind of reference to an earlier question, if you expect all these actions to come in fully, and get you back to your prior 2H '15 expectations, it would seem then that excluding any incremental, again, currency or demand type shocks that would kind of get you back on track for those longer term expectations, is that fair to say?
Larry Venturelli: That's fair to say, especially the action we have taken in the first quarter and what we are doing here in the second quarter positions us well to get back on the run rates for the second half of the year than we expected originally.
Michael Rehaut: Okay. And just lastly on this topic, it seems like most of the offsetting actions are the additional pricing initiatives, but there is also little bit of cost out in Brazil as well. To offset that impact, is it really kind of like two-thirds additional cost-based pricing and one-third cost reductions, or how to think about that mix?
Jeff Fettig: Yes, Michael, I would say we are pushing hard on both, but I mean the bigger factor is price. But I would say we are redoubling our efforts on cost productivity in places like -- well, really everywhere, but particularly places like Brazil, including significant structural changes. We are not going to wait for the demand environment to get better, although we believe it will. We are reducing fixed costs, headcount, et cetera, et cetera, et cetera, very, very aggressively, because we learned from being in the Brazilian market for 70 years that the faster you adjust to the new environment, the better position you are even in recovery, and that's what we are doing.
Michael Rehaut: All right. And just to make sure also the acquisition, synergies and the acquisition contributions expected this year, that has not changed at all, in other words there is no acceleration in any of those synergies or benefits?
Marc Bitzer: Hey, Michael, it's Marc. Let me try to answer this for the European part of the acquisition. The acquisition as I said before is firmly on track. Actually if you would peel back and look in Euro-denominated synergies, we're even ahead of our original scheduling timeline. But of course because of Euro/dollar translation you lose some of that, okay. Net-net even dollars are synergies and synergy expectations are fully on track. It's a complicated and complex undertaking, but we are fully in control and on track.
Larry Venturelli: And Michael, I would say that in Asia, this China integration we're fully on track with the expectations that we gave at the beginning of the year.
Michael Rehaut: Great, thank you.
Marc Bitzer: Thank you.
Larry Venturelli: Thank you.
Operator: We will take our next question from Jay McCanless with Sterne Agee. Please go ahead.
Jay McCanless: Good morning, everyone. First question I had, when you look at the $12 to $13 on ongoing EPS guidance, can you discuss what type of interest rate environment you factored into that guidance, and also what type of currency impact you factored into it?
Larry Venturelli: Yes, Jay, from an interest rate perspective, we are largely -- our portfolio right now is fixed. We have a small maturity in May. So I would say that what you're seeing from our run rate in Q1 should be fairly close and indicative of what you will see for the full year. As I mentioned before, from a currency perspective, the way we set our guidance is recent rates that we've experienced in the key markets; Euro, Real, Canadian dollar, Russian currency. So hopefully that answers your question.
Jay McCanless: Okay. The second question I had, if you exclude the one-time gain from the curtailment, it looks like SG&A deleveraged by about 100 bips year-over-year, is that how we should expect deleverage going forward to the rest of the year?
Larry Venturelli: Yes. We did have a curtailment gain, first one that was not in our ongoing results, and that is in our GAAP results. The majority of that would have hit in the gross margin line. But from an SG&A perspective, apples-to-apples, if you adjust out pension settlements, acquisition-related transition expenses, this year and last year we were really around 9.8% run rate compared to what we're reporting today about 10.3.
Jay McCanless: Okay, great. Thank you.
Larry Venturelli: Thank you.
Operator: And ladies and gentlemen, this concludes today's Q&A session. I'll now turn the program back over to Mr. Jeff Fettig for closing remarks.
Jeff Fettig: Well, again, thank you all for joining today. We appreciate your questions, and we look forward to talking to you next time. Thank you again.